Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Sanmina Second Quarter Fiscal 2022 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Thank you. I would now like to hand the conference over to your speaker today, Paige Melching, Senior Vice President of Investor Communications. Please go ahead, Ma'am.
Paige Melching: Thank you, Ren. Good afternoon, ladies and gentlemen, and welcome to Sanmina’s second quarter fiscal 2022 earnings call. A copy of our press release and slides for today’s discussion are available on our website at sanmina.com in the Investor Relations section. Joining me on today’s call is Jure Sola, Chairman and Chief Executive Officer.
Jure Sola: Good afternoon
Paige Melching: And Kurt Adzema, Executive Vice President and Chief Financial Officer.
Kurt Adzema: Good afternoon.
Paige Melching: Before we begin our prepared remarks, let me remind everyone that today’s call is being webcasted and recorded and will be available on our website. You can follow along with our prepared remarks in the slides provided on our website. Please turn to Slide 3 of our presentation or the press release Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding future events or future financial performance of the company. We caution you that such statements are just projections. The company’s actual results could differ materially from those projected in these statements as a result of a number of factors set forth in the company’s annually and quarterly reports filed with the Securities and Exchange Commission. The company is under no obligation to and expressly disclaims any such obligation to update or alter any of the forward-looking statements made in this earnings release, the earnings presentation, the conference call or the Investor Relations section of our website, whether as a result of new information, future events or otherwise, unless otherwise required by law. Included in our press release and slides issued today, we have provided you with statements of operations for the quarter ended April 2, 2022, on a GAAP basis as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on our website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, noncash stock-based compensation expense, amortization expense and other unusual or infrequent items. Any comments we make on this call as it relates to the income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP information. I’d now like to turn the call over to Jure Sola.
Jure Sola: Thanks, Paige. Good afternoon, ladies and gentlemen. Welcome and thank you all for being here with us today. First, I'd like to take this opportunity to recognize our leadership team and our employees for managing successfully around material constraints and navigating in this market environment. As you can see, we deliver strong results for a second quarter. So, to you, Sanmina team, thank you and keep it up. For agenda, we have Kurt, our CFO to review details of our results for you. I will follow-up with additional comments about Sanmina's results and future goals. Then Kurt and I will open questions and answers. And now I'd like to turn this call over to Kurt. Kurt?
Kurt Adzema: Thanks, Jure. Please turn to Slide 5. Our team did an outstanding job delivering strong revenue and profit growth as well as material cash generation in the second quarter. Q2 revenue of $1.91 billion grew substantially by approximately 9% from the prior quarter, and significantly exceeded the high end of our outlook of $1.7 billion to $1.8 billion. This was primarily due to strong customer demand and excellent coordination with suppliers and customers to help mitigate material challenges. Our supply chain and operations team did an excellent job leveraging Sanmina's distinct internal capabilities enabled by a singular unified IT platform. Non-GAAP gross margin was 8.1% compared to 8.5% in the prior quarter, primarily due to higher direct material costs, as well as the impact of annual salary increases, the annual resetting of employer portion of payroll tax and no benefit in the second fiscal quarter for a holiday shutdown. Non-GAAP operating margin was 5%, comparable to the prior quarter. Non-GAAP fully diluted earnings per share grew significantly by approximately 6% to $1.14, compared to $1.08 in the prior quarter and exceeded the upper end of our outlook of 95 to 105 by $0.09. Finally, Q2 GAAP EPS was at $0.83. Now, please turn to Slide 6. This slide shows the quarterly trends of our financial results. We continue to deliver consistent financial performance over the last 2 years, despite the challenges associated with COVID and the supply chain constraints. Non-GAAP gross margins have exceeded 8% for the last eight consecutive quarters. In addition, non-GAAP operating margins have been 5% or higher for six of the last seven quarters. Now, please turn to Slide 7. Q2 IMS revenue increased to $1.56 billion, primarily due to strong customer demand and excellent coordination by our supply chain and operations team with suppliers and customers to help mitigate material challenges. Non-GAAP gross margin for IMS was 7% compared to 7.5% in the prior quarter. Component products and services revenue grew significantly by approximately 6% to $390 million due to stronger customer demand. Non-GAAP gross margin for CPS increased by 50 basis points to 12.1%. In summary, we believe our revenue will grow and our margins will improve for both segments as supply chain constraints abate. Now please turn to Slide 8. We have a very healthy balance sheet that provides our company a competitive advantage. Cash and cash equivalents was $560 million. Our total liquidity position is strong. Between cash and availability under our revolver and other debt facilities, we have approximately $1.3 billion of liquidity. There were no borrowings outstanding under our revolver at the end of Q2. In addition, we generated significant cash flow during Q2. Cash flow from operations was $79 million and free cash flow was $52 million. We believe we have a strong cash position to manage through the current market dynamics as well as the support revenue growth with our new and existing customers. Now please turn to Slide 9. Our strong balance sheet and cash flow generation allows the company to continue to opportunistically repurchase shares and return capital to our shareholders. As you can see from the chart, we purchased over a $1 billion of shares in the last 8.5 years, including almost $400 million in the last 2.5 years. During Q2, we repurchased approximately 2.8 million shares bringing the total through the end of Q2 to 4.3 million shares. Remaining share repurchase authorization at the end of Q2 was 111 million. In addition, today, we announced our Board authorized an additional 200 million of share repurchases. Please turn to Slide 9 (sic) [10]. Despite the higher levels of inventory, we were able to manage working capital such that cash cycle days remained relatively steady at 57 days. Non-GAAP pretax ROIC continued to improve to 27.9%. Finally, Please turn to Slide 10 (sic) [11]. Let's talk about the Q3 outlook. Overall customer demand is strong, but there continues to be supply chain challenges, including uncertainty of the impact of COVID lockdowns in China and the overall global supply chain. We expect Q3 revenue to be a range of $1.825 billion to $1.925 billion. We expect non-GAAP gross margin in the range of 8% to 8.5% depending on product mix. Non-GAAP operating expenses in the range of $60 million to $62 million and non-GAAP operating margin in the range of 4.8% to 5.3%. We expect non-GAAP other expenses of approximately $6 million. Non-GAAP tax rate of approximately 18% and non-GAAP fully diluted share count of approximately 64 million shares. When you consider all this guidance, our outlook for non-GAAP diluted earnings per share is in the range of $1.05 to $1.15. We expect capital expenditures to be around $30 million driven by growth of new programs and depreciation of approximately $28 million. In summary, demand remains strong across our customer base. We are confident in our business model and expect the company to continue to deliver strong operating leverage and cashflow over time as the supply chain constraints abate. And with that, I'll turn it back to Jure.
Jure Sola: Thank you, Kurt. Ladies and gentlemen, let me make a few more comments about business environments in the second quarter. And I'll talk to you about outlook for the third quarter, and the rest of the calendar year 2022 and beyond. Sanmina is delivering consistent and strong results as you heard it from Kurt. It was broad based and market demand. The key drivers in the second quarter were excellence of our supply chain by working closely with our customers and suppliers and great operational execution by creating the right flexibility to build a product in a short cycle time. Through these operational flexibility, we're able to deliver critical customers' requirements. I can tell you that our Sanmina team has done an outstanding job as we continue to differentiate our industry-leading capabilities. Overall, we delivered nice organic growth, quarter-over-quarter growth of 9% and year-over-year growth about 12.7%. Now please turn to Slide 13. Let me give you few more highlights of revenue for the second quarter by end markets. As you can see on this slide, we delivered quarter-over-quarter growth across all end markets. Top 10 customers were 50% of our revenue. Communication networks and cloud infrastructure was 40% of the revenue, driven by growth in optical systems, 5G networks and cloud infrastructure. This segment grew around 8%. Industrial, Medical, Defense and Automotive was 60% of our revenue. That was driven by growth in industrial around 13% and medical, defense and automotive around 7%. Now let me tell you more about bookings. The second quarter bookings continue to be strong. Book-to-bill was 1.1 to 1. I can also tell you that the pipeline of opportunities is solid, and we can expect bookings to continue to grow quarter-over-quarter. Please turn to Slide 14. Now let me talk to you about revenue outlook by market segments for the third quarter. Good news is that our customer demands have continued to be strong. We see upside potential across all end market segments. Our third quarter forecast is based on component constraints will continue, and it is based on what we are seeing today in the markets. We have strong supply chain team in place, and we are working closely with our customers and suppliers to get critical materials as soon as possible. We expect to manage successfully around these material constraints. Even with these challenges, the future of Sanmina is more exciting. Sanmina mainly services mission-critical, high complexity, heavy regulated markets. In these markets, Sanmina is well-positioned with a healthy backlog for the third quarter and beyond. New project wins are driving the growth. For the third quarter, we are forecasting that 40% of revenue will come from communication networks and cloud infrastructure markets. Driving the growth in optical systems, 5G networks, cloud networking and enterprise storage systems. And we're also forecasting that approximately 60% plus of revenue for the third quarter will be from industrial, medical, defense and automotive markets. Now let me talk to you about growth for the calendar year '22 and beyond. Based on present market visibility and customer forecast, fiscal year 2022 will be a strong growth year for Sanmina. The pipeline, our new growth opportunities remains very healthy. We are investing a lot more in talent and leading technology to support the growth for fiscal year 2023 and beyond. Now let me talk to you about long-term growth. I can tell you today that Sanmina has a well-diversified customer base, and we expect to continue to diversify end markets as we grow. We have a lot in the pipeline driven by our medical business, well-positioned there. Defense continue to expand, well-positioned and automotive focusing on electrical vehicles. We believe this segment will continue to be strong. We are well-positioned in Industrial, but we see more growth in this segment also. Communication and cloud infrastructure, we always have strong position and continue to see nice expansion in future. Overall, we are expanding to more profitable projects by providing industry-leading technical engineering solutions from R&D to build to order, configure to order and other services. All of these opportunities in these markets are translating into growth and margin expansion for Sanmina. Please turn to Slide 15. In summary, our second quarter revenue exceeded our outlook, driven by strong demand. We delivered solid non-GAAP operating margin of 5% and non-GAAP diluted EPS of $1.14. That's $0.09 above the guidance, and strong free cash flow of $52 million. For the third quarter, we are forecasting strong demand from our customer base. We expect supply constraints to continue and our revenue outlook at this time is $1.825 billion to $1.925 billion. We expect to deliver non-GAAP diluted EPS of $1.05 to $1.15. I can also tell you that we remain very confident in our fiscal year 2022 profitable growth objectives that we set beginning of the year. Ladies and gentlemen, now I would like to basically say again, thank you for all your time and support. And operator, we are ready to open these lines for question and answers. Thank you.
Operator: [Operator Instructions]. Your first question comes from the line of Ruplu Bhattacharya from Bank of America. Your line is open.
Ruplu Bhattacharya: Hi. Thank you for taking my questions.
Jure Sola: Hello, Ruplu.
Ruplu Bhattacharya: Hi, Jure. My first question relates to margins. I mean, I was wondering if you can just provide some more details there. It looks like your revenue came in higher than your guidance range. I think it was up $155 million sequentially. But I mean the margin stayed at 5% at the same level as last quarter. And just looking at the different segments, IMS and CPS, I was curious because IMS seems to have declined 50 basis points sequentially. And related to components, although it was up sequentially to 12.1%, I think year-on-year, your revenues grew by 7% in that segment, but then margins declined 210 basis points. So, I was just wondering if you can talk about what were the margin dynamics in the second quarter?
Jure Sola: Yes, Ruplu, let me just add, and I will turn it over to our CFO. First of all, margin is a lot driven by a mix itself. We have what I would say in this environment good overall margin in what we call 8% plus gross margin. And we feel that as long as we keep it at the 5% in this environment, it's respectable. But the longer term, we believe there is a fair amount of upside. And I will turn it over to CFO.
Kurt Adzema: Thanks, Jure. Yes, Ruplu. So, as Jure pointed out, obviously, mix is always a factor. But the other things that I mentioned on the call, first of all, we had higher direct material costs, and while we are able to pass it on to customers, that does impact margin. And then the other thing is at the beginning of the year, just like every year, we have the impact of the annual salary increases, we have the resetting of the employer portion of the payroll tax in the United States. And you don't have the benefit in the second fiscal quarter for the holiday shutdown that you had in the prior fiscal quarter. So, I think all those things played into margin for this quarter. But again, for the outlook for next quarter, we do think it will be somewhere between 8% and 8.5%.
Ruplu Bhattacharya: 8% and 8.5%, you're talking about gross margins?
Kurt Adzema: Yes, gross margin, which obviously then falls to the operating margin because we are expecting relatively flat OpEx.
Ruplu Bhattacharya: Okay. Thanks for that. Can I ask for my second question? Just some clarification on the guidance on revenues, Jure. I think you said communication networks and cloud infrastructure should be about 40% of your fiscal 3Q revenue. At the midpoint, your revenue guidance is $1.875 billion. So 40% of that would be about 7, would be slightly lower than what you reported this quarter in terms of revenues. And I'm just wondering, you said you have a strong backlog, looks like the communications market is strong with the networking and optical and these things doing well. So, I was just curious if I misunderstood that or if you can just clarify how you should think about the revenue growth because the 40% of the midpoint is like $750 million, which is slightly lower than the $757 million you reported in the second quarter.
Jure Sola: So let me explain that again. First of all, as I said early in my prepared statement that overall, we have a very, very strong demand for the third quarter and actually many quarters behind that. So, demand is there. I think for us, as I mentioned in the prepared statement, I think it's going to be driven by the component constraints that are in the industry. We -- as we just said in last quarter, I think our team did a great job, and we are able to manage it. We expect us to continue to manage it and how well we get those components that overall is going to drive the growth. So, there's a lot more upside to this than downside. But downside is mainly in components.
Ruplu Bhattacharya: Got it. No, that makes sense. And then for my last one, Kurt, if I can ask you. I think inventory grew 16% sequentially, but you guys held the cash conversion cycle days at 57 days. So, can you give us some idea how should we think about that trending over the next couple of quarters? And how should we think about free cash flow? It was positive this quarter. And I was just wondering if you can give us your thoughts on how that trends over the next few quarters?
Kurt Adzema: Sure, absolutely. So yes, absolutely, our inventory has gone up. That is a result of working very closely with our customers and suppliers to forecast what we think their future demand is going to be. And so I think that's a big part of what we're trying to do. On the cash flow side, I would say we continue to generate positive cash flow. I expect to do it again next quarter. And I feel very good about our balance sheet, as I mentioned several times.
Ruplu Bhattacharya: Okay. Thank you for all the details. I appreciate the help. Thank you.
Kurt Adzema: Thanks, Ruplu.
Operator: Your next question comes from the line of Jim Suva from Citigroup. Your line is open.
Jure Sola: Hello, Jim.
Jim Suva: Hey, good evening.
Jure Sola: Good evening.
Jim Suva: Thanks so much for the details so far. I wanted to ask, strategically, it seems like we are hearing of customers shifting their production closer to end destinations to reduce shipping costs, COVID, trade wars, custom issues, boat [ph] issues, undocking, all that. Have you seen that start to materialize, or is it more discussions? And if it does, am I correct because your cost-plus model that could actually help out your margins because cost of labor may be potentially higher in those near onshore destinations?
Jure Sola: Well, first of all, you're right that the customers are moving around to what makes business sense for them to be closer to their end markets. So, we are going to -- Jim, as you know, this market, we are going to a regional supply chain. In other words, in old days, everything in one direction, now it's going to be more regionalized. Sanmina was always set up like that. And definitely, we see more growth in Americas and in Europe for us as these things come up. But it's taking time. As you know, the world a lot more interconnected than a lot of people realize. So -- but I would say next 12, 18 months, we are going to see more of this moving to the regional. And I expect us to benefit on the margin longer term. At the same time, in the markets that we are driving, Jim, we are focusing on products that are more mission-critical. Those products will stay closer to home. And I believe in those type of products, we can drive better margins. And that’s really part of our strategy, drive the growth. As you can see, we see a nice growth so far this year. As long as we can get material, we are going to see a good growth, and we expect that to continue, but more important that we start bringing that down to the bottom line.
Jim Suva: Great. Thank you so much for the details and clarifications, and congratulations.
Jure Sola: Thanks, Jim.
Operator: Your next question comes from the line of Anja Soderstrom from Sidoti. Your line is open.
Jure Sola: Hello, Anja.
Anja Soderstrom: Hi. Thank you for taking my questions, and congratulations on the great quarter.
Jure Sola: Thank you.
Anja Soderstrom: I'm just curious, what do you see in terms of the supply chain on your end? Is it sort of stabilizing? Is it improving? Or what kind of -- what color can you give us there?
Jure Sola: I would say it's still very challenging. I would -- some week sale, everything looks good. We got everything we need and then for that week looks good. I think it's a week-to-week, Anja. I don't -- but I see it -- I'm not an export on it, but what I see from our suppliers, from our customers, I think this is going to continue through definitely '22, 23. And let's hope it improves. But right now, it's, I would say, stable, but I don't see major improvement short-term.
Anja Soderstrom: Okay. Thank you. And you mentioned the gross money was impacted by the materials cost increase. But we also mentioned in Q&A that you could pass those on to customers. So how should we think about that? Is there a lag between there and that's why the gross margin was negatively impacted and that should benefit during the coming quarters or ...?
Jure Sola: Yes. First of all, we worked very close with our customers to minimize the impact on them in this environment as you know, especially when we chase these critical components around the world, we work very close between our suppliers and our customers to minimize that. But in our business model, Anja, our model is designed in a way a lot of these projects that we do with our partners out there, it's pretty, what I call, transparent relationship, I call a real partnership. So, we work very close with them. Our business model not -- we can't afford to, how do I say, for paid for these increases. So definitely, our customers are the ones unfortunately have to burden these increases, but we work very closely with them to minimize the impact on our customers.
Anja Soderstrom: Okay. Thank you. And then in terms of your end markets, were there any sort of surprises there considered in that?
Jure Sola: No major surprises. I think we are -- we are in a mode right now, Anja, to grow, to expand in these critical markets that I talked about, not just for '22 as we look a couple of years out, we really focus on the markets where we have a lot of strength such as medical, defense, automotive, especially around electrical vehicles. Industrial, we are in very strong position, but that for us, will continue to grow. And communication and cloud infrastructure, we always were in a strong position. And we are growing our component businesses. I believe, for us, some of the major opportunities is in component businesses, and we are driving major expansion there in the next 18 months. So -- and that hopefully -- not hopefully, we expect those things to drive the margins up.
Anja Soderstrom: Okay. Thank you. And then also, I have two more questions. In terms of China and the lockdowns there, have you seen any impact from that indirectly or ...?
Jure Sola: Well, definitely, we’ve seen some impact there. Our plant was shut down for, I think, 3.5 weeks. We are working around it. As much as I like to use it as excuses, but we are getting used to it, COVID, material shortages. Kurt and I and other managers were talking about it last week, and it's just a normal environment that we have to survive in.
Kurt Adzema: Yes. I think the key thing you touched on, Anja, is it's not just about the plants that are just in China or our plants or factories that exist in China, right. It's the potential implications of those lockdowns In China on the whole global supply chain. So, I'd say there's still a lot of uncertainty there. I can't say that we’ve seen tremendous impact yet, but there's a lot of uncertainty about how that all gets unwound and the logistics of getting stuff out of China kind of gets backed up.
Anja Soderstrom: Okay. And then sort of what kind of risk does that impulse to your third quarter guidance? Then, what kind of visibility do you have?
Kurt Adzema: Yes. As Jure mentioned, I mean, I think the guidance we gave takes into account the uncertainty that we are aware of that this time. I think -- obviously, I think in these dynamic environments, it's best to be conservative. And I think we've taken that into account in our guidance.
Anja Soderstrom: Okay, great. Thank you. That was all for me.
Kurt Adzema: Thank you, Anja. Operator, we have time for one more question.
Operator: Sir, your last question comes from the line of Christian Schwab from Craig-Hallum Capital. Your line is open.
Jure Sola: Hello, Christian.
Christian Schwab: Hey, Jure. Congrats on the great quarter. Your commentary regarding long-term growth rate in '23 and beyond, one of your competitors recently had an Analyst Day and they kind of talked about their belief that the broader EMS industry is said to be kind of a 5% to 7% growth type of industry, and they expected to outperform that themselves given kind of a lot of the same things you stated. So, is that the type of growth rate in '23 and beyond that we should be thinking about for Sanmina? There wasn't a clarity on exactly what numbers you want to put behind that?
Jure Sola: Well, yes, if you look at this year so far, just in the first two quarters, what we delivered and what we are guiding will put us for '22 above those numbers. At this time, I think if I look at the opportunities in front of it, Christian, growth is not going to be a problem. I think challenge for us, we need to see this more visibility resolution to these material shortages before I like to put a big number out there. But internally, we are investing into right technologies, right products in these key markets to drive not just the growth itself, but to really expand our margins for long-term.
Christian Schwab: Great. Perfect. Then my last question is, Jure, do you guys have an idea of how much end customer demand that you under shipped to over the course of the last 12 months due to supply and material constraints?
Jure Sola: Yes. The only thing that I can tell you, most of my customers, I could have shipped a fair amount more in some cases, a lot more if we could get those critical materials. We stopped counting on it because we just operate in this environment that our customers are changing schedule just trying to meet the most critical demand what they need and to service their most critical customers. So, we have to be very flexible, our efficiencies today are not very good because it's a stop and go. As we stabilize materials and so on, I expect better margins just on the revenue that we are shipping today.
Christian Schwab: Great. No other questions. Thank you.
Jure Sola: Well, thank you. First of all, I'd like to say thank you to all of you today for listening to us and giving us your support. Hopefully, we answered most of your questions. If not, please get back to us and looking forward to talking to you next 90 days.
Kurt Adzema: Thank you.
Jure Sola: Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.